Operator: Good morning, and welcome to the UnitedHealth Group Fourth Quarter and Full Year 2025 Earnings Conference Call. A question and answer session will follow UnitedHealth Group's prepared remarks. As a reminder, this call is being recorded. Here are some important introductory information. This call contains forward-looking statements under US federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the reports that we file with the Securities and Exchange Commission, including the cautionary statements included in our current and periodic filings. This call will also reference a non-GAAP amount. Reconciliation of the non-GAAP to GAAP amounts is available on the financial and earnings report section of the company's Investor Relations page at www.unitedhealthgroup.com. Information presented on this call is contained in the earnings release we issued this morning and in our Form 8-Ks dated January 27, 2026, which may be accessed from the Investor Relations page of the company's website. I will now turn the conference over to the Chairman and Chief Executive Officer of UnitedHealth Group, Stephen Hemsley.
Stephen Hemsley: Thank you, and good morning. You for joining us today. This morning, I'll provide updates on the product our organization has made over the last six months in the momentum that is building in 2026. Tim Noel and Patrick Conway will dive more deeply into how UnitedHealthcare and Optum finished 2025, and our conviction for improved performance in 2026. Wayne DeVeydt will walk through the details of our full year 2025 financial performance and 2026 outlook before we turn to Q&A. We continue to progress and strengthen as we enter 2026. Taken a critical look across all our products and our U.S. market positions, focusing on what is working, what needs more attention, and what no longer makes sense for us. We are driving greater operational disciplines in all our business practices, leveraging the use of technology and artificial intelligence broadly, and renewing our commitment to innovation, agility, and accountability. We have removed assets that are not aligned with our focus on serving the U.S. health system. We continue to strengthen our management team, leveraging both our internal depth and bringing fresh ideas and talent from outside the organization. These actions and others are intended to improve the value we offer to all those we serve and drive sustainable growth for many years to come. Our people are rising to the challenge before them. We finished 2025 with adjusted earnings per share of $16.35, which was slightly ahead of our expectations. Full year 2025 results exclude a $1.6 billion net of tax and largely non-cash charge very consistent with what we discussed on our third quarter earnings call. Addressing the elements of this charge was important in setting the solid foundation for returning to the historical earnings quality and growth you've come to expect from us. Wayne will provide further details on both these results and the charge. Looking to 2026, we expect adjusted earnings per share of greater than $17.75 for growth of at least 8.6%. Our initial outlook reflects measured growth across all four of our reporting business segments, with double-digit improvements at UnitedHealthcare and low to high single-digit adjusted growth across our Optum segments. These overall results are tempered by the third year of Medicare funding reductions, ongoing funding shortfalls within our Medicaid state Medicaid programs, and our historical respect for rising medical cost trends. As expected, improvements will be more evident within UnitedHealthcare 2026, while at an earlier stage Optum will take more operational effort and investment and time. At UnitedHealthcare, we successfully repriced the insurance businesses intentionally rightsizing them to refocus on membership we can best serve on a sustainable basis. In Optum, new leaders are driving operational improvements that translate to more consistent results and better performance visibility. We've taken a critical look at our services and geographies remaining in markets that are best aligned with our core integrated value-based care purpose. This analysis also led us now to align Optum Financial Services with OptumInsight where our energies and talents for health care technology and financial technology innovation can be brought together to better address the opportunities and potential within these markets. We are clearly embarking on a new age of technology already transforming the way the world operates and health care must participate carefully and fully. We plan to be a leader in that movement. We expect 2026 to be a year of focus and execution. An important one in the history of our company. Have emerged strongly from challenging periods in our past and are committed to that course today. Our team is showing great resilience and energy and we believe strongly this we're taking will pay off. With that, I'll turn it over to Tim.
Timothy Noel: Thanks, Steve. UnitedHealthcare finished 2025, having made progress to more effectively serve our members and network partners. Another important element in building sustainable growth. We closed the year with medical care patterns in each business in line with our updated outlook and ultimately supportive of our pricing decisions for 2026. With that, I will briefly walk through each business. Starting with Medicare, the 2025 medical cost trend was in line with our expectation of approximately 7.5% and supports our 2026 trend expectation of 10%. This reflects consistently elevated utilization in addition to increases in physician fee schedules, and the continuation of higher service intensity per care encounter. As part of our efforts to address elevated trends and funding cuts, we plan for some Medicare Advantage membership contraction in 2026. We now expect UHC Medicare Advantage contraction will be in the range of 1.3 million to 1.4 million members for the full year including group, individual, and dual special needs plans. These are greater losses than originally anticipated as competitive market dynamics drove higher than expected planned shopping during the intensely competitive annual enrollment period. Our 2026 approach favored margin recovery and these membership trends are a result of these actions. We similarly positioned our Medicare Supplement and standalone Part D segments and as a result of the totality of actions taken across UHC Medicare, we expect an improvement in Medicare margins of approximately 50 basis points from 2025. Looking briefly to 2027, the advance notice published yesterday simply doesn't reflect the reality of medical utilization and cost trends. We will continue to work with CMS to ensure an appropriate final growth rate calculation to avoid a profoundly negative impact on seniors' benefits and access to care. That would be a deeply unfortunate result for a program that already under funding pressure from the previous administration despite its track record of success serving seniors and taxpayers. Turning to Medicaid. We can continue to expect this business to see incremental pressure in 2026 largely driven by state funding shortfalls. We have received some rate relief but still anticipate the mismatch between rate and acuity to pressure performance in 2026. While we hope for further improvement in 2027. We expect Medicaid membership contraction of approximately 565,000 to 715,000 people which includes DSNP members. Due to reduced Medicaid eligibility combined with the exit from one state. We took important steps in our commercial pricing and cost management efforts during the second half of this year Nearly all of our employer group and fully insured pricing align with continued increases in care activity for 2026. In the individual ACA market, we re-priced nearly all states in response to higher medical trends, and the elevated needs of ACA beneficiaries in 2025. These actions were necessary to ensure a sustainable foundation in these plans. And enable us to maintain our participation in all the states we served in 2025. We are working with CMS on solutions to address the consumer affordability challenge given the unfolding dynamics in the ACA marketplace. As we announced last week, we have voluntarily pledged to rebate ACA market profits back to our ACA customers this year as policymakers work to determine how to improve affordability in this marketplace. We expect both fully insured group and individual enrollment to contract and be partially offset by continued momentum in our group self-funded offerings. 2026 overall, our strategic focus on margin recovery through product repositioning and repricing efforts enables us to estimate approximately 13% adjusted operating earnings growth across all of UHC. Principally from the improvement in serving commercial, and Medicare market needs. These actions should expand operating earnings margins for United by 40 basis points and are expected to result in membership contraction of 2.3 million to 2.8 million. The expected contraction in commercial membership is in line with our plans. While this will drive margin expansion in 2026, we still anticipate operating operating just slightly below our historical margin range until 2027. Our UHC recovery effort is being supported by steady efficiency gains as we advance AI and machine learning capabilities across our businesses. We anticipate operating cost reductions of nearly $1 billion in 2026 many AI enabled and importantly, in higher customer experience and satisfaction at a lower cost. Over 80% of calls from members leverage AI tools to help answer members' questions faster and more accurately. This enables our advocates to focus more time on a better service experience for individuals. Now I'll turn it over to Patrick Conway CEO of Optum.
Patrick Conway: Thanks, Tim. And good morning, everyone. As we start 2026, Optum will be anchored around relentless focus on improved and consistent execution. In OptumHealth and OptumInsight. That will enable future margin expansion and top line growth. OptumRx will remain focused on maintaining its market position and providing a more comprehensive suite of pharmacy benefits and services. And continuing to pursue success in winning new customers for 2027 and 2028. All in highly competitive markets. Our 2026 performance outlook reflects adjusted earnings growth in all three segments of our business, ranging from low to high single digit year over year performance and margin expansion ranging from 20 to 90 basis points across the portfolio. Growth rates will remain somewhat tempered in 2026, but strategic refocus and investment in modern next generation services should lead to growing momentum in the back half of the year that will carry into 2027 and beyond. Some details on each of our segments, starting with OptumRx. At OptumRx, we expect operating earnings growth from expanding margins by 20 basis points. On an adjusted basis. This growth is driven by a strong external selling season, that will impact 2026 and 2027 as we implement and expand over 800 new customer relationships. While new customer wins were offset by membership contraction at UnitedHealthcare, we are capitalizing on significant AI automation enabled operating to support our expanded margin outlook. In 2026. Entering 2026, we have implemented new pricing models that will deliver greater transparency to customers and cost based reimbursement. To pharmacies. We have removed reauthorization requirements for 180 drugs benefiting millions of people and we will continue to expand these efforts. And we continue to advance our commitment to pass through 100% of drug rebates we receive to our customers. Over 95% of our customers have elected to receive full rebate pass through in 2026. With all remaining customers expected to transition by the 2027. Our customers recognize pharmacy benefits are an essential tool helping employers, governments, and patients afford and access medications. OptumRx members save over $2,200 in annual prescription costs due to our efforts in moderating manufacturer drug price increases. Turning to OptumInsight. We expect earning growth of greater than 4% while expanding margins by approximately 90 basis points. This growth is driven by new sales, commercialization of new products, stringent cost management, and increased volumes within existing core businesses. Investments and execution on 2026 priorities will set the stage for more growth into 2027. And beyond. Principally through broad based AI first new product innovation, strengthening Optum's care provider market offerings. An important change starting in 2026 involves aligning OptiMinsight and Optum Financial Services. These businesses have a much greater synergy today. For example, integrating OptumReal's AI driven revenue cycle solutions with Optum Financial Services payment and financing capabilities, has the potential to transform health care transactions moving the industry from post service reconciliation to real time point of care approval and monetization. Creating a more modern, closed loop approach that is better for the health system. The impact is significant. It reduces areas of long standing processing friction. While enhancing OptumInsight's growth and margin potential. By expanding beyond transaction processing into higher value services. Focused on a more certain simpler, faster experience for patients and providers we serve. Unlocking faster settlement, improved liquidity for providers, creating new value pools for payers. Turning to OptumHealth. As you see in our results this morning, we made substantial changes through 2025. Enabling our team to enter 2026 with a stronger foundation more aligned to the intent of our integrated value based care approach. We expect operating earnings growth of approximately 9% while expanding margins by approximately 30 basis points. This growth is driven by a back to the basics focus. On integrated value based care and execution. I'll touch on a few core areas in which we have taken action. First, we are focusing on markets where we have strong presence and the complementary wraparound services to succeed in our integrated value based care approach. We provide these services under an aligned incentive structure that improves outcomes reduces cost, and improves patient satisfaction. Practices operating in this environment are driving down total cost care by up to 30%. With patient satisfaction NPS near ninety. Second, we are making sure our integrated value based care network is appropriate and optimized. We've narrowed our affiliated network by nearly 20% since this time last year. With the goal of having a more optimal alignment of positions and services in place to best serve our patients. We have strengthened our value based care network and management disciplines, and will continue to reshape the network to ensure it is aligned with our strategy for higher quality, and greater affordability. Third, we have streamlined our risk membership by approximately 15%. This reflects dropping unaligned PPO contracts repositioning certain markets, and payer de delegation. In instances where we were not able to reach viable sponsor contract. Importantly, we have made strides in getting back to the original intent of our integrated BBC vision. Removing ancillary services risk and focusing back on core medical care. The majority of this work was done for 2026 with a smaller amount still to address in 2027. Finally, have improved basic operational disciplines. We have exceptional care teams and proven approaches. In 2024 and 2025, inconsistencies in market to market execution hurt us. We are intensely focused on driving consistency, accountability, and performance. For example, we now have nearly a 100% of our employee provider groups on one of three strategic electronic medical records. This is down from 18 EMRs in the past few years. This will enable us to more swiftly adopt enhanced workflow tools and AI. As well as have more timely and consistent data to guide our patient care efforts. OptumHealth has made significant progress in bringing the integrated value based care approach back to original purpose. You should expect further progress from us throughout 2026 as we continue our journey back to strong, transparent, consistent results while driving higher quality of care for patients, and lowering overall cost in the health system. Before I turn it over to Wayne, I want to take a brief moment to thank all the people of Optum. Who continue to work every day to ensure our customers, and our patients get the best experience and care we can offer. Wayne?
Wayne DeVeydt: Thanks, Patrick, and good morning, everyone. I'll start by diving right into our twenty twenty five results. Today, we reported adjusted earnings per share of 16.35 which was slightly ahead of our expectations. These results reflect continued solid execution across the enterprise that will carry into 2026. As Steve noted, the quarter included a $1.6 billion net of tax charge or $1.78 per share. Which was largely non cash and primarily related to actions within Optum. This net charge has three primary components. First, a true up for all remaining cyber attack related activities. Including approximately $800 million for net collection expectations associated with provider loans and other customer balances. Second, a net gain. Of about $440 million related to portfolio optimization activities associated with assets we are exiting or plan to exit. And third, a $2.5 billion related charge principally to broad restructuring and other actions including contract reassessments, real estate rationalization, and workforce reductions. Of note, approximately $625 million of this charge relates to a lost contract reserve for third party contractual relationships within the Optum portfolio that are structurally unprofitable and that we could not exit for 2026. These actions are aligned with our broader efforts to improve focus and execution to drive more sustainable long term earnings performance. Some additional details for the full year 2025. We delivered revenues of nearly $448 billion reflecting 12% growth from 2024. Driven by domestic membership growth of over 415,000 people. Our medical care ratio of 89.1% came in slightly better than our expectations. This includes approximately 20 basis points of negative charge related impacts primarily associated with the lost contract reserve. I just discussed. Our operating cost ratio of 13.3% demonstrates strong management discipline while balancing key investments in people and capabilities that support long term performance improvements. Operating cost ratio was slightly higher than anticipated due to approximately 40 basis points of charge related impacts. Higher than originally contemplated because of approximately $800 million in broad based employee and incentives and funding to the UnitedHealth Foundation. Investing in our workforce and the communities we serve both are critically important to this enterprise. Finally, earnings were supported by strong cash flows of $19.7 billion or approximately 1.5 times net income. Turning to our 2026 outlook, We expect revenues of approximately $440 billion net earnings of at least $17.10 per share, and adjusted net earnings of greater than $17.75 per share. This reflects anticipated operational improvements and margin stabilization as we continue executing against our long term strategy. We expect slightly under two thirds of full year earnings to be generated in the first half of the year, This seasonal progression is largely consistent with 2025, and reflects the impact of Part D benefit changes under the Inflation Reduction Act as well as overall business mix. Turning to cash flow. We expect to generate at least $18 billion from operations in 2026, or about 1.1 times net income. Our medical care ratio is expected to be 88.8% plus or minus 50 basis points reflecting our view that medical care activity will likely remain at current trend levels through 2026. Consistent with prior years, we expect the first half medical care ratio to be notably below the midpoint with the second half notably above. The operating cost ratio is expected to be 12.8% plus or minus 50 basis points. This reflects disciplined cost management, ongoing productivity initiatives, and the early benefits of our investments in artificial intelligence. While also incorporating required investments in people, and technology. Our 2026 outlook reflects the realignment of Optum Financial Services from OptumHealth into OptumInsight. We believe this better optimizes the Optum portfolio aligns with how we expect to engage the marketplace and grow through the Optum AI network. Finally, on capital and liquidity, For 2026, we expect our dividend to remain well supported by earnings and cash flow. As we look ahead, we expect leverage to continue improving through the year supported by strong cash generation and a more stable operating environment. And to reach our long term debt to capital target of approximately 40% before year end. And as this progress continues, we expect to return to our historical capital deployment practices in the second half of the year. Before closing, I wanna echo what Steve Tim, and Patrick have said about the people of UnitedHealth Group. 2025 was a year of challenges on multiple fronts. Our team stepped up, embraced those challenges, and remained focused on delivering for the people we serve. Now I'll turn it back to Steve for some closing remarks.
Stephen Hemsley: Thanks Wayne. I hope everyone is getting the sense from today's comments that we're returning to the operating and executional focus and the quality financial disciplines that have served us well. Details matter in these businesses. These approaches are essential to enable us to better serve customers and consumers, and the expectation of shareholders. That commitment to serve is embodied in our mission to help people live healthier lives and help make the health system work better for everyone And it's supported by a deliberate culture To that end, I would call out three overarching themes we're pursuing. The first is to refocus back to that mission and culture. We are reenergizing and retooling that sense of mission and culture throughout the company. Which is already the core reason so many of our colleagues joined this enterprise. The second is the urgent thoughtful application of modern intelligent technologies. These efforts can help address long standing needs in healthcare for simplicity, speed, certainty, insight, consumer empowerment, and con and convenience. expect at least We're hoping to invest nearly $1.5 billion in 2026 and as much to follow in 2027. This work is making a difference within our organization today and we it will serve as the foundation for external versions that can benefit the broad health system through OptumInsight. Lastly, we are methodically taking steps to advance greater trust and transparency wherever we serve the public health care interests. This began with the independent reviews of business practices and risk assessment in pharmacy services, and in care management. Those first independent reports were published in December and the remediation recommendations will be completed and reported no later than March. Further independent oversight reviews and reports were in process today and will continue. And in addition, in 2026, we will begin to publish our results in areas of interest such as prior authorizations, and claim approval rates, certain performance statistics, data and trends, rebate practices and prices for products and services, key business and core management practices and policies. For methods such as these and more, as they evolve, we will become even more publicly accountable for our performance and strive every day to improve it. We thank you for your time this morning. We'll now open it up for your questions. Operator, please.
Operator: The floor is now open for questions. At this time, if you have a question or comment, please press 2 on your touch tone phone. We ask that you limit yourself to one question. If you ask multiple questions, we will only be answering the first question so we can respond to everyone in the queue this morning. Our first question comes from Josh Raskin with Nephron Research.
Joshua Raskin: Hi, thanks. Good morning. Appreciate all the details. So you're guiding to a decline in 2026 in traditional MA lives of you know, even more than that. So almost mid teens and the proposed rates for 2027 as Tim mentioned, might indicate the need to further refine benefits think we're at the bottom of the MA cycle now? Should we expect MA margins to improve not just what you mentioned in '26, but in 2027? And then if you could help frame how important that core MA book is to the other segments of the enterprise, especially OptumHealth. Thanks.
Stephen Hemsley: Yeah. So Josh, maybe I'll maybe respond to the second half of your question, and then Tim Noel can kinda respond to the first. But our interest has always been to serve all the markets in health care. All the segments, and also the national health system as a whole. And MA is certainly important in that sense. And it's important to OptiHealth and OptumRx just as you suggest. But I also might turn it around another way because the Optum businesses are extremely complementary to UnitedHealth and its benefits, and to many other payers. And that's why we believe and that we are bringing more broadly to the health care market very broad value really across the board. And that is why you really you have to strike the right balance when you're thinking about this. In terms of growth and membership really across the whole of the UnitedHealth Group platform. Tim?
Timothy Noel: Good morning, Josh, and thanks for the question. So let me start the conversation with with 2026. And as I hit on in the opening remarks, our our strategy in '26 did focus on more so on margin than it did on any specific membership target. And that is all really playing out as expected when you think about some of the core and key pricing assumptions that we made as we close out '25 those look to be good assumptions that we made and they're really holding firm. We feel good about our margin recovery efforts of about 50 basis points across Medicare Advantage. The membership losses, while, they're a little north of, what we were talking about, earlier, really kinda sit within our internal planning range. So I can I think about that all as a real solid foundation that we're setting for 2026 as we then head into 2027? So moving into 2027, the news that we received last night in the advance notice was disappointing. And it was because it's a further for a program that is experienced $130 billion in funding reductions over the last three years under the prior administration. Which is particularly concerning for a program that provides excellent choice access, and affordability for America's seniors. And does so with satisfaction rates north of 95%. While saving money for taxpayers. the rates are finalized. So we're going to, of course, work with CMS from now until But as this all sits today, as I talked about, it will mean very meaningful benefit reductions and will once again need to take a hard look at our geographic footprint, our product footprint. Across the country. And, you know, has the likelihood to play out not dissimilar to how 2026 did in terms of modifications to plan footprint and benefits. We don't see this to be something that's going to be broadly disproportionate payer by payer. Therefore seniors kind of across the sector are going to experience this implications of reduced choice, reduced access, and affordability challenges. Given all of this and kind of where we sit, too early to talk point estimates around margin or membership for 2027. But I will say this that over the long term, given the actions that we have taken in 2026, and our integrated business model that as Steve alluded to, really focuses on value based care Those things having a strong foundation focusing on value based models, are going to be even more important in this environment that we're being asked to operate. Thanks for the question, Josh. Next question, please.
Operator: Our next question comes from Justin Lake with Wolfe Research.
Justin Lake: Thanks. Good morning. I wanted to ask about the fourth quarter OptumHealth performance. You guided to just under $3 billion of OI. With the third quarter results. And if I'm doing the adjusted math correctly, came in closer to $2.3 billion. So underperformed by $607.1 billion dollars of OI in the fourth quarter. It's fairly surprising to still see this kind of volatility in the business that leads in the year. Was hoping you could lay out the drivers there and talk to what gives you guys confidence in more stable performance in 2026. Given that fourth quarter volatility coming out of the year? Thanks.
Stephen Hemsley: Good question, Justin. And you know, very much focused on making sure that we really took a hard look at that whole the whole of the OptumHealth business. So, Krista, do you wanna respond?
Krista Nelson: Yeah. Absolutely. Thanks for the question, Justin. So your results in the fourth quarter and for the full year were, you know, slightly disappointing to our expectations. But really reflective of the restructuring actions that we took in the fourth quarter as well as some onetime items that are now right behind us. In addition, in the fourth quarter, medical remained elevated, but consistent with our expectations. So, you know, excluding restructuring and the move of Optum Financial, our adjusted earnings are now approximately $1.5 billion which is our new baseline that we will continue to build off of in the future. Maybe I'll just take a quick step back and answer the second part of your question, which is you know, what gives us confidence? We have reoriented OptumHealth back towards our original purpose. And we have a full integrated value based care delivery system where we employ and deeply partner with providers across multiple service lines including primary and specialty care imaging, surgery, home health, behavioral health, and additional wraparound services to support our patients. It's a system that's anchored by primary care, and an aligned payment model which incentivizes improved outcomes. Offering preventive and holistic care, compared to a system that rewards volume of services. We've established this strategic clarity in the business and paired it with a very comprehensive evaluation of our assets and capabilities which as a result, you know, we took meaningful actions in the fourth quarter to strengthen our foundation. And in addition to that, I'm pleased with progress that we've made in reshaping our risk portfolio, refining our network, and bolstering operations. I would say we're significantly stronger today than we were just six months ago. Thanks for the question. So a really solid shakeout a totally different management and leadership team and a much more rigorous approach a lot of potential there. Next question, please.
Operator: And we'll move to our next question from Kevin Fischbeck with Bank of America.
Kevin Fischbeck: Great. Thanks. Wanted to go back to the, the 27 mA rate update. Basically, it sounds like you're saying that trend is the biggest part you want to go back to. The government with. But I wanted to focus, I guess, on the the two kinda coding components that if you take out normalization, you know, 1.8 for call it, the risk model and another 1.5 for charts, So it's like a 3.3% headwind. I think that with v 28, you guys talked about an impact that was more than what the industry was seeing. Would you expect a similar dynamic with with these two coding components that you know, as a company who's probably better than average at coding, you'd see more than this kinda 3.3% headwind, that we're calculating. And, you know, do you still feel good about if that's true, do you still feel good about getting to a 5% margin in in value based care OptumHealth? Thanks.
Stephen Hemsley: Sure. Tim, do wanna address that?
Timothy Noel: Yeah. Kevin, thanks for the question. So, no, we don't expect the impact to be different for us. Versus the rest of the industry. On those two elements that you, outlined. Are our modeling shows, you know, consistency between what we're seeing and also what the estimates are of industry averages on those two elements. And then I'll look So, Kevin, was there a second part to your question?
Kevin Fischbeck: Yeah. The second part was OptumHealth margins with this rate cut, because we took it to 5%.
Krista Nelson: Yeah. Yeah. Thanks for that question. I would just say, you know, it's early. We have opportunities to improve performance in the business, you know, just outside of MA rates. You know, let me just give you a couple of examples that really give me confidence in why, there's you know, why we're really confident in getting back to our long term target margins. You know, I've gotten to spend time with our care teams And after we've done that complete, you know, thoughtful evaluation of our performance in our businesses, we do have many high performing markets today that really deliver strong outcomes for our patients. One example worth highlighting is, yeah, large market in Texas. Where we serve over 750,000 patients across over 50 clinics offering that holistic care I described, you know, primary care, labs, imaging, specialty care, home health, surgery, care coordination. We're really proud of our results. You know, for example, here, we've got a four and a half star health plan. We have total cost of care that is approximately 30% better than our competitors. A patient satisfaction of 90 really strong provider retention, and margins already performing in our long term target margin range. Another example that just gives me confidence here is we've got about 30% of our mature value based care patients that are already again inside that target margin range or above. And so those two examples combined with the work I described previously that we're doing to improve the consistency of of our performance just give me a lot of confidence in the runway ahead for OptumHealth. So really more about execution really than any other single factor, really is focused on execution. Yep, thanks for the question. Next please.
Operator: We'll go next to Steven Baxter with Wells Fargo.
Steven Baxter: Yes. Hi, thanks. In the Medicaid business, I think you made reference to getting a little bit of rate relief. So was hoping you could speak to oneone rates that you're seeing and maybe contrast that to the rates you were seeing in 2025? And in general, if the rates are coming in a bit better seems like there's not gonna be any material impact from early starts to work requirements if you kinda revisited your margin assumption for the Medicaid business at all in 2026? Thanks.
Wayne DeVeydt: Thanks, Stephen, for the question. I'll give you kind of an overview on where we are in rates. For 2026, our view remains unchanged. In terms of overall performance. Our Medicaid business for Medicaid we do expect some margin contraction. Due to the ongoing dislocation of rates and continued elevated medical trends. medical trend. We are projecting rate increases in the range of six to 7% in aggregate for the year, but that will continue to be below our And we do expect some, membership contraction as we continue to manage the business. For January 1, our rates are somewhat in line with our expectations. And, again, we expect our rates to range between six to 7% for the year. As we think about 2026. Thanks for the question. Next question, please.
Operator: And our next question comes from Lisa Gill with JPMorgan.
Lisa Gill: Thanks very much and good I wanted to ask a couple of questions on OptumRx side. First, Wayne, you made a comment that due to Part D, we're going to see earnings more first half driven Can you talk about the changes around the subsidies and the impact that we have on Part D And then secondly, when we think about OptumRx, you talked about the member contractions because of what happened on The United side, but 800 new clients on that side. Last quarter, you talked about combining prescription and medical benefit trends. Can you just talk about those eight new clients and if there's anything different that you're seeing in them as we think about 26?
Stephen Hemsley: So maybe the first question of Bobby and then John to second part.
Bobby Hunter: Yeah. Hey. Thanks, Lisa, for the question. So, maybe just kinda hit quick on the Part D side. I mean, Wayne did talk about the seasonality dynamic You know, we've been pretty clear, I think, now with the implementation of the IRA, we do see more of a even, kind seasonal trending throughout the year. So you know, that element is certainly, kind of foundational in the outlook. When you think about the actual, you know, 2026 benefit design, the way that we position the benefits, on the Part d both for stand alone PDP and MAPD I think it's very reflective of the way that the IRA has evolved the program, the way that the industry has largely of evolved the design. So I feel like we're in pretty good lockstep there with where overall industry is moving. As I look at just kinda how 2025 closed out on the pharmacy cost for us inside the health plan, I feel pretty good about the overall, you know, trend on balance. Between all the key drivers, things like specialty trend, brand utilization, etcetera. So it it gives me, you know, pretty good belief in our outlook and our positioning for 2026. And early in the year, I haven't seen anything to, suggest otherwise. For the question.
Wayne DeVeydt: Fantastic, Bobby. And Lisa, thanks for the question. So maybe building on the the membership growth, I'll pick up, you know, where Patrick left off and some of his opening comments. Strong selling season. In 2026 combined with retention allowed us to backfill you know, continued high nineties, re from UHC. you know, about half, maybe more than half of the of the membership loss And so that puts us in a nice position to deliver a modest 2% earnings growth in 2026 for a business that we expect to return to the low double digit to high single digit low single digit to high excuse me. High single digit to low double digit, earnings growth. And if I unpack that, Lisa, to your question on what are we seeing in the market and why are we winning? Why did those 800 new clients choose OptumRx? Couple of points. You know, we our businesses are performing strongly. Each of our core businesses growing in the high single digits. And the reason we're winning threefold, affordability, transparency, and execution. From an affordability perspective, our clients have never needed us more than now. And good perspective activity there. We're committed to bringing affordability to those that we serve. For our clients, OptumRx generates more than a $100 billion in savings annually through negotiations with drug manufacturers and network pharmacies. And then for our members and patients, we deliver more than $1 billion savings annually through our Price Edge and Specialty IQ. Solutions. From a transparency perspective, frankly, we're we're proud to be leading the the transparency transformation in this industry. Industry. And this begins with the industries only fully transparent pharmacy and therapeutics commit and then it continues through the supply chain with with wholesome instrumentation around manufacture network and wholesaler drug pricing. And so we couple all of this with our commitment to through 100% of rebates to clients by 2028, and then we wrap that in a in a transparency guarantee. Around our offering for our clients. And then finally, rounding out on experience. You know, we're making it easier for all those that we serve, providers, clients, and members, to interact with us. In our pharmacies, record high NPS in our home delivery pharmacy. Our 90% NPS for for the patients that we serve. And in our hospital based specialty pharmacies, high nineties NPS for patients and low nineties for providers. And then finally Lisa, we're eliminating provider and patient abrasion. So as Patrick mentioned, we reduced or removed reauthorization requirements for more than 180 drugs that have the net effect of reducing our overall prior authorization 10%. So in summary, transformational vision is compelling. Our offering is resonating. Our team is executing, and, we're we're well positioned for 2026. Thanks for the question.
Stephen Hemsley: Thank you. Next question, please.
Operator: And our next question comes from Scott Fidel with Goldman Sachs.
Scott Fidel: I guess, I'll slip over to the commercial business. And interested if you could just provide us with the breakdown of the 1.3 million to 1.4 million commercial risk lives, that you're expecting to decline in 2026 how that breaks out between commercial group and then the exchanges. And then also just in terms of margins year over year progression for commercial group and the exchanges. What you're thinking about for '26. Obviously, we know that you're planning to to rebate the the the profits from the exchange business. Thanks.
Stephen Hemsley: Thanks, Scott. Dan?
Dan Schumacher: Yes, Scott. Thanks for the question. Addressing your membership first and then moving to to margin. On membership pertaining to the risk based decline, the largest share of that membership decline is connected to our exchange business for 2026, where we continue to expect meaningful decline between now and the end of the year. Beyond the exchange business, general market decline of risk based customers, our pricing posture supporting margin recovery, and continued deliberate migration to our self self funded, level funded small employer offerings. All contributing to a decline in risk based membership. So to parse that out specifically, 500,000 plus attributable to the exchange business, the remainder to those three factors. Moving to margins and first addressing, the exchange business, Over the course of the decade plus in which we have operated, in that market. It has never been a significant contributor of earnings for us. Our pricing posture for 2026 coming out of 2025 is going to return that market to a positive margin business for us. However, I would expect those margins in the exchange business for 2026. To be in about the 1% range. Plus or minus 1% for that business. Related to margin for the group business, in 2026. I'm encouraged by our January performance and how that has set us up for our full year plan. Specifically, for January, we found the market to be firm and competitive. And that supported us yielding the required renewal rates and membership persistency to deliver on the 2026 margin improvement that Tim alluded to in his opening remarks. Specifically, I expect us to close more than half of the gap between our 2025 margin performance and our historical margin range. Which we expect to achieve in 2027. Thanks for the question, Scott. Thanks, Dan. Next question, please.
Operator: We'll go next to AJ Rice with UBS.
AJ Rice: Hi, everybody. Thanks for the question. I think as as you guys came back on board and got your arms around the business. You talked about, modest growth in '26. Getting back to low double digit earnings growth. In '27, and then something more like what we're used to seeing from United in '28. You're talking about the rate notice impacting benefit design and being felt by seniors. And I think your underlying assumption is generally in Medicare, and with OptumHealth had been for gradual margin improvement, not dramatic margin improvement over the years. You've got now a view on all the other business lines Do you still think you can get, to low double digit growth in '27 and back to traditional growth in '28 as you put it all together?
Stephen Hemsley: Yeah. Well, AJ, thanks for the question. So we're not gonna really talk to '27. Obviously, it's January '26. So I would say that's a business is meaningfully stronger than it was just a few months ago. And in '26, our agenda is to strengthen it even further We'll continue to be focused on, you know, doing you know, smart intelligent things to serve that total mission, but well within the margins that we have, operated in. And continue to believe we can strengthen that. So I can't speak to '27, but I will speak, let's say, to a longer term and that is you know, very much feel that we can be operate within our long term growth rate margins, that 13% to 16% When you take a look at the needs in the marketplace, and the opportunity for this total enterprise to operate at its full potential And actually, the elements in the marketplace, the actual pressures that have been discussed on this call actually to respond to those effectively across the marketplace really speaks to what I think our overall business approach can achieve. When you think about just solid organic growth and retention, again in the margins that we have been talking about. The enormous potential of AI driven productivity which is already in in line with a organization that is driven towards productivity and scale. Innovation and approaches to kind of serve the broader health care marketplace AI as applied to health care in a practical way. As a platform to really energize OptumInsights business agenda. The need and emergence for value based care, You combine that with thoughtful capital stewardship and continued measured thoughtful expansion of into the value added markets. That's why I think that the long term growth rate for this enterprise and and responding to the margins or the pressures in the marketplace has actually never been better But we have to play to full potential. And we have to execute. And that really is what we're about. But we have an amazing set of resources to respond to the needs of the marketplace. And that's why I think the long term growth for this enterprise is kind of more compelling than ever. Okay. Thanks. Next question, please.
Operator: And we'll go next to Anne with Mizuho Securities.
Ann Hynes: Hi, good morning. In your prepared remarks, talked about your trend expectations for 2026. Is up 10%. You tell us what that is Medicare, Medicaid and commercial? And maybe how 2025 ended what was different versus your expectations? Thanks.
Timothy Noel: Yeah. Thanks, Anne, for the question. So you're correct. The 10% is a number. assumptions inside of Medicare. That reflects our utilization 2025 closed out around 7.5%. Which is what we've kinda reset our expectation through middle point of the year. So that really is, playing out well at a high level in terms of historical care utilization patterns in line with our RESET expectations. We have historically or recently talked about the commercial trend approaching 11%. I think that's probably still a good place to orientate to. Due to some of the nuance in the Medicaid market, where it's not quite as instructive to give a point estimate there, But I think you can just think about the themes really being similar across all the businesses. Seeing elevated trend that elevated in the earlier part of 2025. Remains at those elevated levels. And our expectation is that will persist into 2026. Thanks, Tim. I think we have time for maybe just one more question or two. Because we're gonna try to wrap it up at eight. So next question, please.
Operator: And our next question comes from Erin Wright with Morgan Stanley.
Erin Wilson Wright: Great, thanks. So it seems like you're progressing according to plan with the Optum turnaround, but has there been any surprises that have come out of some of the initiatives there, especially at OptumCare? And just I think you're still saying that the long term margins target, 6% to 8%, is still intact. I just want to confirm that. And then just in light of the rate notice and policies, top of mind, how are you thinking about this administration support of value based care initiatives and they integrated, you know, Optum offering. And you mentioned just how important value based care is to operate in this environment. So some context there would be helpful. Thanks.
Krista Nelson: Yeah. Absolutely. Thanks, Erin, for the question. So a couple of things. You asked about just you know, our how we're progressing and if we've seen any surprises. No. Think as we've you know, gone through the evaluation I described in the fourth quarter and as we've started to look at performance in each business and as we've made some decisions to improve our footprint and our market portfolio, and getting some of that, you know, behind us. I I actually feel better about our 2026 position and our foundation by which we will be building off of. Your second question was on the six to eight. Percent and if that's still intact. And the answer is yes. Like I mentioned earlier, the examples I described in Houston, we have a number of examples like that where I described our mature evaluative cohorts already performing inside that. Again, those are reasons to give us confidence You know, that being said, we do have work to do, which is we've we've laid that out thoughtfully. And I think as, you know, in terms of progression of earnings, you know, we're looking at modest basis point improvement inside 2026. As investments take shape and as we overcome the last year of V-twenty eight. With building stronger momentum in the back half of the year setting us up for 2027, And then, you know, the last part of your question around just the support of value based care you know, what we've got is a very unique integrated value based care delivery system that continues to demonstrate value to patients served higher quality outcomes, and a total cost of care that is significantly better than all market alternatives, And, you know, this system, like I mentioned earlier, is aligned around an aligned payment model which incentivizes preventive care and holistic care. And comparing that to assessment and rewards for volume, is just, you know, a system that we need more of, and I we feel even stronger today about that need. And the greater possibilities for OptumHealth than we have before. So thanks for the question. Totally perfect. And, you know, the pressure in the marketplace just actually makes value based care more compelling, and the retention of patients to value based care is very strong. One last question, please.
Operator: Our last question comes from Jessica Tassan with Piper Sandler.
Jessica Tassan: Hi, thank you so much for the So what would you highlight for investors from the independent reviews of UNH business practices that you all published in December? And is there any way to draw confidence around UHC and OptumHealth's ability to contend with adjustment reform from some of those reviews? Thank you.
Stephen Hemsley: Sure. I'll just, offer broadly. They were actually very positive. They really did speak. They were more focused on the overall environments, the controls, the oversight, the governance. With respect to those areas of practice. And particularly in risk assessment. And so we were we were pleased with that, and we are following that, with really our own independent review in terms of risk accuracy. Chris?
Krista Nelson: Yeah. I'll just I'll just follow-up to say that I think the the reports really are are focused on trying to advance trust and transparency in these metrics that come out of it while 2025 was really focused on the policies, procedures, compliance, oversight, all of which were strong and robust. 2026 will focus on risk assessment accuracy, and metrics clinical policy accuracy, and pharmacy services. And we have reviewed these with the administration. We are very much open in continuing this course Again, recognizing the long term responsibility for trust and transparency in this So I really appreciate the question, a good one to end with. It is really all we have time for now. What I would say is that palpable the the momentum inside this organization is palpable. We still have work to do to continue to successfully build and progress over the next several months, and we are eager to get to it. But I very pleased with the performance and outlook that we have. You for your time today.
Operator: And ladies and gentlemen, this does conclude today's conference. We thank you for your participation.